Operator: Good morning, ladies and gentlemen, and welcome to Advanced Drainage Systems Third Quarter of Fiscal 2024 Results Conference Call. At this time, all participants are in listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions]. I'd now like to turn the presentation over to your host for today's call, Mr. Mike Higgins, Vice President of Corporate Strategy and Investor Relations. Sir, you may begin.
Mike Higgins: Thank you. Good morning, everyone. Thanks for joining us today. With me today, I have Scott Barbour, our President and CEO; and Scott Cottrill, our CFO. I would also like to remind you that we will discuss forward-looking statements. Actual results may differ materially from those forward-looking statements, because of various factors, including those discussed in our press release, and the risk factors identified in our Form 10-K filed with the SEC. While we may update forward-looking statements in the future, we disclaim any obligation to do so. You should not place undue reliance on these forward-looking statements, all of which speak only as of today. Lastly, the press release we issued earlier this morning is posted on the Investor Relations section of our website. A copy of the release has also been included in an 8-K submitted to the SEC. We will make a replay of this conference call available via webcast on the company website. With all of that said, I'll turn the call over to Scott Barbour.
Scott Barbour: Thank you, Mike, and good morning, everyone. Thank you all for joining us on today's call. ADS had a very strong third quarter, generating better-than-expected growth and profitability as we saw the return to volume growth for the first time in several quarters. But before we get into the details, let me provide a bit of context to connect our water markets and the resiliency of the business model as we have navigated the last 18 months. As you know, ADS and Infiltrator are both highly relevant pure-play water companies and we play a critical role in developing sustainable water management solutions to protect and manage water, the world's most precious resource. I think we would all agree that the storm water infrastructure has not kept pace with climate trends related to water events creating a real problem for many communities. I'd add to this, there is a growing need to more aggressively capture and reclaim water to recharge aquifers and rivers. Over the last several years, we have seen a secular trend of large-scale water-related climate events that are increasing in frequency, duration and intensity yet the existing water management infrastructure is not capable of mitigating the new normal. To obtain some data around this in November, we partnered with a Harris poll to survey Americans about water management and infrastructure. Over half of the participants indicated concern about the storm water management infrastructure in their communities. In fact, one out of five surveyed reported having experienced flooding in their homes. The results made it clear that Americans are not just worried about protecting their homes, but also ensuring storm water management practices are environmentally sustainable and improving the quality of life in their communities. These results are collaborated by a growing body of evidence concerning the state of water management practices. In November, the Fifth National Climate Assessment was delivered to Congress and the President. The report indicates and I quote "climate change is intensifying rainfall and floods, deepening droughts and shifting weather patterns across the globe, causing profound effects on freshwater supplies and quality, rising sea levels, reduced snowpacks, shrinking rivers and declining groundwater threatened cities and rural communities and endanger forests, rivers and other ecosystems across the United States". Further, and I quote again, "while data and tools for water resources planning are improving, water infrastructure standards and management policies have been slow to meet the new challenges". In addition, the New York Times recently published a series on the causes and consequences of disappearing water. According to their study, many of the aquifers that supply 90% of the nation's water systems are being severely depleted threatening irreversible harm to the American economy and society as a whole. As the leading storm water management company, we have an important role to play in highlighting these concerns to drive awareness and education as well as engineering solutions to mitigate the impact of these water-related climate events for the millions of people affected. Our products prevent flooding and build resilient communities in the face of these changing weather patterns. For over 30 years, ADS and Infiltrator products have helped recharge groundwater, returning it to aquifers, rivers and other natural sources. To further enhance our offering, we recently established a strategic partnership with Rainwater Management Solutions, a provider of cutting-edge rainwater harvesting and reuse systems, Rainwater Harvesting Systems capture, divert and store rainwater runoff to be reused for applications such as irrigation, helping to combat water scarcity. This partnership brings together the technology and solutions built by David Crawford and his team at Rainwater Management Solutions and ADS' best-in-class go-to-market sales resources and distribution relationships, utilizing the StormTech stormwater chambers and infiltrators industry-leading in-ground tanks. By utilizing ADS' expertise in managing the entire life cycle of a rain drop, and RMS' innovative water harvesting solutions, the combined knowledge and innovation will deliver -- will enable the delivery of leading end-to-end storm water treatment systems in the complementary commercial and residential markets. I'm personally very excited about this partnership with David and his team. In addition, Infiltrator recently launched the ECOPOD-NX, an advanced treatment solution for active on-site septic wastewater management. This product is the next generation of advanced wastewater treatment technology designed to meet new regulations that require higher levels of nitrogen reduction to protect water sheds and the environment. With this new product, Infiltrator will leverage its leading market knowledge and distribution network to penetrate new areas of the growing advanced treatment market. Infiltrator also introduced two new tank sizes IM-300 and IM-1250 as well as two new chamber products, the Quick 5 series, broadening our portfolio of products. The new tanks are manufactured using Infiltrator's unique 2-piece design technology which allows for increased transportation efficiency and ease of installation compared to other products on the market today. Like other Infiltrator products, the new tanks and chambers are manufactured using recycled plastic material supporting our commitment to reducing our environmental impact in creating a circular economy for plastics. These partnerships and product launches demonstrate our strategic commitment to improving the environment and the communities where we work through innovative water management solutions. In our space, no one is innovating and investing in manufacturing at scale like ADS and Infiltrator bringing new solutions to market that address the need for better water management solutions in the United States. On that note, construction continues on our world-class engineering and technology center in Ohio. This facility will allow us to innovate faster and launch new products more quickly. As we bring material science, product development and manufacturing engineering under one roof we will drive the velocity of commercialization for our customers and the industry. The investments we are making in partnerships, material science, product innovation and manufacturing technology will continue to strengthen our position as the leading water management solutions provider now and well into the future. Now moving to the third quarter results. We continue to see better-than-expected performance in the Infiltrator business and the Allied Products portfolio in the third quarter. Demand and pricing for the ADS pipe portfolio continue to perform largely in line with expectations. Importantly, this quarter saw volume growth return at both ADS and Infiltrator primarily driven by the infrastructure, residential and agricultural end markets. Infrastructure sales increased 22% in the quarter, driven by demand at the local funding level as IIJA funds begin to flow. The team is seeing good activity, including spending on roads and highways, airports and rail projects. Residential market sales increased 5% this quarter, driven by 17% growth in Infiltrator. Overall, the residential market has stabilized and land development activity improved during the quarter. Our business development team is doing a fantastic job building relationships with large national homebuilders to get ADS further upstream in the land development process. Nonresidential market sales were down 3% in the quarter, a significant improvement from the first half of this fiscal year as the comparisons improved. While we have seen this market begin to stabilize on a year-over-year basis, we remain cautious due to the higher interest rates, tighter credit standards and continuing macroeconomic uncertainty. From a margin perspective, we once again demonstrated the resilience of the business model. Adjusted EBITDA margin expanded 490 basis points to 30.8% this quarter, this marks the eighth quarter in a row of year-over-year margin expansion. The margin performance this quarter benefited from sales mix and previous investments in the business, including automation, more efficient production lines and tooling, effective management of price cost and continuous improvement within the operations. As we move into the final quarter of this fiscal year, we updated our guidance ranges to reflect the results to date as well as the improved demand environment and increased profitability. We will continue to focus on delivering exceptional service to our customers and pursuing profitable growth through attractive products, markets and partnerships while at the same time, continuing to invest capital and resources at both ADS and Infiltrator to drive growth and profitability over the long-term. With that, I will turn the call over to Scott Cottrill to further discuss our financial results.
Scott Cottrill: Thanks, Scott. In the third quarter, revenue increased 1% overall, driven by volume growth at both ADS and Infiltrator. Price cost was also favorable due to material cost favorability, partially offset by modestly lower pricing during the quarter, consistent with our expectations. Equally of note, this quarter's manufacturing cost was favorable as we are seeing the benefit from investments we've made in new equipment, automation and tooling. In particular, the operating performance in Infiltrator has been impressive this year, as we see the benefit from the operation of the newer, more efficient equipment we've invested in since acquiring them in 2019. On Slide 9, we present our free cash flow. We generated $564 million of free cash flow through the third quarter of fiscal 2024, compared to $534 million in the prior year, an increase of 6%. Year-to-date free cash flow primarily benefited from an improvement in working capital. Capital spending increased 8% to $136 million year-to-date as we continue to make investments to increase automation, grow our manufacturing and recycling capacity, increased productivity as well as build the new world-class engineering and technology center here in Hilliard, Ohio. Thoughtful allocation of our shareholders' capital continues to be a key focus for the management team, given the strong cash generation of the business. Our first priority for capital deployment remains investing organically in the business which we view as the lowest risk, highest return use of capital. We will continue to focus in areas that align with our long-term strategic objectives, including accelerating innovation around new products and new technologies that add to our storm water and wastewater solutions packages, increasing our production capacity related to products and regions that have superior demand and growth characteristics, debottlenecking and expanding our recycling operations, as well as enhancing our material science and blending capabilities, increasing the productivity and efficiency of our manufacturing network. And finally, upgrading our transportation assets, including the use of the latest telematics and safety technology to better protect our drivers and to provide superior delivery and customer service. We expect to spend approximately $200 million on capital expenditures this year and remain bullish on the pipeline of organic investment opportunities in front of us. Our second priority is acquisitions that are close to our core, while remaining open to close adjacencies that would provide meaningful synergy opportunities as well as new platforms consistent growth and expanding our total addressable market. We employ a disciplined process for identifying and evaluating acquisition opportunities to ensure alignment with our long-term strategic objectives. Third, we will continue to buy back shares under the current $1 billion share repurchase program. Since the inception of the $1 billion share buyback program in 2022, we have repurchased approximately 7.7 million shares or 9% of the shares outstanding when the program was announced with 1.6 million shares being repurchased in fiscal 2024 year-to-date. Lastly, we remain committed to our quarterly dividend paid to shareholders of $0.14 per quarter, a 17% increase year-over-year. Moving on to Slide 10, we present our updated fiscal 2024 guidance ranges. We increased the revenue guidance, which is now expected to be between $2.8 billion and $2.85 billion. We also increased the adjusted EBITDA guidance, which is now expected to be in the range of $880 million to $910 million. Today's guidance reflects, first, the stabilization and improvement in demand we've seen in our end markets. Second, a positive sales mix from better-than-expected performance in the Infiltrator and Allied Products businesses. Third, relatively flat price cost year-over-year through the end of this fiscal year. Fourth, January's results, which reflected a continuation of the trends we saw during the third quarter and have highlighted here. And lastly, the volatility that comes with the seasonality of our business in the fiscal fourth quarter. We remain focused on executing on our long-term strategic plan to drive consistent long-term growth, margin expansion and free cash flow generation. With that, I'll open the call for questions. Operator, please open the line.
Operator: [Operator Instructions] Our first question comes from the line of Jeff Hammond from KeyBanc Capital Markets. Your line is open.
David Tarantino: Hey, good morning everyone. This is actually David Tarantino. Really impressive margin growth. Could you maybe parse out the drivers just between price and productivity initiatives and maybe level set us on the runway with the productivity initiatives longer term?
Scott Cottrill: Yes, David, it's Scott Cottrill here. Yes, when you look at the EBITDA bridge we presented, really, really like when you start with the volume side of the house, can't highlight that enough. Partly it's because of the mix and the high profitability of the Infiltrator and Allied business. The other part of it is the absorption that our manufacturing network gets from the additional production volume that comes with that demand. So those are key. Obviously, price cost has been a big driver all year long. It was in the quarter as well. And as I said during my prepared remarks, we see that to be more flattish as we move forward. More of it's -- most of that based on year-over-year comps as opposed to something deteriorating sequentially as we look at our pricing and as we look at our resin cost environment. Those are all the key drivers of that. So it starts with volume, effective price cost, that manufacturing absorption and transportation efficiency, all of that to be positive with a green bar in the third quarter, really, really important as we move forward. So I would say those are the key drivers as we look to the margin resiliency of the business as we move forward.
David Tarantino: Okay. Great. And then maybe just given the volatile commodity backdrop, could you give us an update of what you're seeing from a pricing perspective, both in the channel from both your products and competing products, particularly in pipe?
Scott Barbour: So this is Scott Barbour. And the pricing is largely playing out as we thought relative to pipe products. It's kind of -- we use price regionally or geographically where we need to, to maintain our market share or win what we want to win. And overall, it's played out like we thought. And you can see kind of price cost is still kind of hanging in there. So I would say, very manageable at this point.
David Tarantino: Great, thanks guys.
Scott Barbour: Thanks, David.
Operator: Our next question comes from the line of Bryan Blair from Oppenheimer. Your line is open.
Bryan Blair: Thank you. Good morning guys.
Scott Barbour: Good morning.
Bryan Blair: Very encouraging to see the inflection in infrastructure revenue in the quarter. How does the pipeline of projects look now with [indiscernible] spending underway? And should we anticipate consistent double-digit growth for the foreseeable future?
Scott Barbour: So Bryan, good morning. It is Scott Barbour, good pipeline of projects in activity. As you know, we track project formation, we track quoting and bids. All of that remains going in the right direction in the infrastructure business. I would say we're particularly doing well in our traditional states, Florida, the Carolinas, Ohio, Pennsylvania, these kind of places where we have really starting markets -- market share and that money flowing, we see it. So I think we're capturing more than our fair share. In some of the newer markets like Texas, we're still in the bidding and building that up phase there, so I don't really think that's kicked in. But we -- like many people you guys talk to, we were waiting on this money to start to flow. The projects began to release, and I'd say we're in the kind of the first part of that right now for the stuff that we do in roads, highways, airports have been quite good and the rail business, where we're bidding on a lot of stuff.
Bryan Blair: I appreciate the detail. Again, it's very encouraging. And it would be great to hear a bit more about your collaboration with Rainwater Management Solutions. Whatever you're willing to offer just a bit more color on the impetus for the partnership, how long this has been in the works? And then lastly, if we should anticipate tangible P&L impact over time.
Scott Barbour: So good question on Rainwater Management Systems. And we've known these people a long time, and we've done business with them. I think this is really formalizing it at a higher level with David Crawford and his team and I've been down there two or three times to meet him, and it's super impressive their technology. And I think this is, I would say us, both organizations more formally putting our shoulders behind this to generate a quicker pace of business for both companies. Super exciting the types of projects they see and when combined with our distribution, the things that we see our product line of the Infiltrator tanks and the StormTech chambers, just being able to engineer that stuff quicker those solutions quicker is really what we're -- David and I are trying to get out of this. And I would tell you, firmly, both of us have got our shoulders behind it and really excited about it. and it will have an impact. This isn't one of those things where we're going to see tens and tens of millions of dollars tomorrow. Like a lot of pieces of our business, it builds over a period of time. And it becomes then a very consistent market segment or participation for us. And we believe both David and I believe that this rainwater capture for a lot of different uses is going to be one of these extensions of the storage and tank market that's going to grow pretty rapidly. So that's the way I view it.
Bryan Blair: Understood, I appreciate the color.
Scott Barbour: No, problem.
Operator: Next question is from the line of Matthew Bouley of Barclays. Your line is open.
Matthew Bouley: Good morning everyone. Thank you for taking the questions. So back to the end markets, there's encouraging trends really across all the end markets. Non-resi getting a little better, resi turning positive and of course, as you address the infrastructure. I guess as we sit here in February, I know we're in your fiscal Q4, but I mean kind of any early thoughts on how the end markets may shape up for calendar '24 and sort of what you're planning for? Thank you.
Scott Barbour: Okay. Matt. We knew you would ask that question, by the way. So Mike Higgins, do you want to take that one?
Mike Higgins: Yes. Hey, Matt. Yes, we would agree with what you said. I think the end markets have become incrementally positive from when we talked to you guys last. I think we feel good about housing, infrastructure is kind of see by the performance in Scott's comments earlier, I think we feel good about that going forward as this money starts to flow. We're definitely seeing more projects come to the market that we can bid on, quote, sell. I think nonresidential remains a question for us. I think our position now is it doesn't appear to be getting any worse. But as we get through the quarter, we have whatever it is now about six weeks or so left in our year. We'll know more as we move through February and March. And as we see kind of the seasonal uptick in our business in terms of project identification, quoting activity, orders, the activity we see through our technical engineering services group around plan design, we'll have a better feel for next year. So I think -- we're focused on finishing out the year strong. And when we talk to you guys in May, we think we'll have a much better picture of what those markets look like. But safe to say, we don't see them getting any worse at this time.
Matthew Bouley: Got it. Perfect. That's helpful. And maybe my second question here probably won't surprise you either, but you're speaking to that kind of 31.4% to 31.9% margin this year. A lot of great color there on the pieces of the bridge. I mean when I look at the bridge, mechanically speaking, is there any reason to think that margin would have to step back any period? Or is this kind of the new norm? You're obviously well above the Investor Day guide? Kind of where -- how do you guys think about where that margin can go into the next couple of years? Thank you.
Scott Cottrill: Yes. I think it's an interesting question, and we talk about it and look at it all the time. Obviously, we're going to continue maximizing each part of that EBITDA bridge as we look. And again, the mix of the company, it lends itself to nice margin expansion. It's going to be one of those items where it's end market driven, it's volume driven, it's sales mix driven. It's the manufacturing performance with better absorption, CI the newer machines, the technology, the innovation, the new products that Scott talked about that we announced for Infiltrator that were just introduced some of the new innovation that we're working on at the Engineering Technology Center and some of those things, so that you see that conversion cost and transportation cost from an efficiency perspective and a manufacturing productivity perspective getting better. So as we look at the bar, the price/cost is going to be the way we think about it, more of not a driver of margin expansion. It's going to come from volume. It's going to come from manufacturing and absorption and cost management activities. And then all the other things we talked about related to we've put a lot of capital to work organically, and we're seeing it starting to come through on a productivity and efficiency basis, not only manufacturing, but on the transportation side. So we're going to continue to invest organically. Again, highest return, lowest risk. We see a lot of opportunity out there to continue doing that, not only on the pipe manufacturing network, the allied product side, the recycling debottlenecking it's a multifaceted approach, and there's a lot of opportunities. We have a great foundation, a great baseline for margins. But is a room to run. Sure. But it's going to come from other areas of that EBITDA bridge than what we've seen here over the last couple of years. And we know that, and we're working hard on that. And the cash flow generation of ADS, you've seen it. We don't take it for granted. We have a very disciplined approach, and we're going to continue to put a lot of capital to work organically. We're going to continue to stay open and look for great M&A opportunities. But right now, we're going to spend a lot of money on efficiency, innovation, productivity in all of those areas I just covered. So again, a lot of runway in front of us as to the cadence of such. Stay tuned. We'll talk more about that in May.
Matthew Bouley: Great. Well, thanks Scott. Thanks everyone. Good luck guys.
Scott Cottrill: Thanks, Matt.
Scott Barbour: Thank you.
Operator: Our next question comes from the line of Mike Halloran with Baird. Your line is open.
Unidentified Analyst: Hey, good morning, everybody. It's Paz on for Mike. Just want to take another look at the end markets here. Could we maybe dig in a little bit deeper on the residential side, obviously, inflected positive there driven by Infiltrator offset by a little bit of weaker pipe. Can you maybe just talk about what you're seeing at the two tails of that business a little bit more?
Mike Higgins: Yes, hey Paz, it's Mike Higgins. Yes, Infiltrator has continued to be strong. Again, I think just broadly speaking, end markets when it comes to residential has been incrementally better or more positive than people anticipated when the year started. So I mean, that's reflected into the Infiltrator business. They've had strong demand in their geographies and around the type of kind of housing where their products typically get installed. On the ADS side, it was, again, I say a strong quarter, volumes were up. So both businesses saw growth in the residential end market for the quarter. Again, like we said before, same kind of dynamics at play. The commentary from the builders remains positive around their demand. So as they continue to acquire and develop more land for subdivisions. We think that will be a positive for the ADS part of the business.
Unidentified Analyst: Thanks for that. And then a quick follow-up. I believe, well, I don't believe I know it was one of the Scotts that said it, just not sure which one. But on the guidance, what's assumed for the remainder of the year? You said guidance was updated for results to date and the improvement in underlying demand. Were you saying it's a continuation of what we've seen so far in the fiscal year?
Scott Cottrill: Yes. We are specifically mentioning a continuation to what we saw in the third quarter and what we highlighted.
Unidentified Analyst: Perfect. Thanks. I'll pass it on.
Operator: Our next question comes from the line of Garik Shmois with Loop Capital. Your line is open.
Garik Shmois: Hi, thanks. Great quarter. Wanted to ask on Infiltrator, just the revenue growth you saw in the quarter, recognizing that residential end markets are strengthening. But was there any abnormal channel fill or inventory dynamics that might have helped or is your view that the balance of the Infiltrator growth was, I guess core residential recovery?
Scott Barbour: It is core. This is Scott Barber, Garik. It is core residential recovery. We -- as you would expect, we're looking at all that very closely to make sure there's nothing going on in that channel that we don't understand. And kind of the order in then order out in three to five days is returns completely back to our normal experience in that business. So we would say it's really driven by just kind of the fundamentals in the residential market. It's driven by some favorable geographic presence in Florida and the Southeast where we have good -- there's high penetration of on-site septic systems. So really running on all cylinders there in infiltrate. And I would add doing an outstanding job in the manufacturing piece and those investments we made right after the acquisition in 2019, that many of you saw on the trip we took down there a couple of years ago, man just killing it, just killing it as far as productivity, the automation, the quality, the material efficiency, all those things. So that's what you really see happening is good demand returning at Infiltrator, using those new assets and converting at a very, very favorable rate, probably better than we ever anticipated.
Garik Shmois: Yes. No, understood. I guess my follow-up question is just on the transportation and manufacturing piece on the cost side, that got better, certainly compared to the second quarter of the fiscal year when it was a headwind. We're speaking, Scott, a number of times on manufacturing improvements. Is fair to assume that manufacturing was driving the balance of the improvement or were you seeing a transportation cost tailwind as well?
Scott Barbour: No. Good question. And you're right. Finally, that turned green. We've been working very hard on that. And I would tell you that's driven by conversion and Infiltrator and conversion in the pipe company. Scott kind of mentioned it when he said volume returned. So as volume returned, we begin to absorb those manufactured engineering costs that we put in to execute the capital on -- particularly on the pipe side of our business. So as that volume is returned, we also good performance in the plants, by the way. But the combination of those things kind of got us over the hump. So we were very pleased to see the green in that bar and the green in the volume bar. And we kind of talked around it a little bit today, but the nature of what we've got to go and execute has changed. It's from getting pricing up to cover inflation in writing price costs, that's going to skinny down and its volume returns, which we're seeing and executing on conversion and transportation well. That's what's got to drive, drive our bridge here over the next couple of years, and it's very encouraging for us to see that in the third quarter like that. We've been working hard to get there, and it was nice to see some of that come through in the numbers for everyone.
Garik Shmois: Yes, for sure. All right. Thanks again. I'll pass it back.
Scott Barbour: Thanks, Garik.
Operator: Our next question comes from the line of Joe Ahlersmeyer at Deutsche Bank. Your line is open.
Joe Ahlersmeyer: Hey, good morning, everybody. Congrats on the strong results.
Scott Barbour: Thank you.
Joe Ahlersmeyer: Yes, a lot of my questions have been taken and answered and very uncertain terms. But maybe we could talk about the industry a little bit. So I think we all understand there's this conversion element, legacy materials to HDPE. But as the industry benefits from that, could you maybe just talk about your market share within storm drainage maybe setting aside Infiltrator and international first second? Just looking at ADS and Allied domestically, like how much market share do you have within that? And how much bigger are you than the next biggest player?
Mike Higgins: Yes. Joe, good question. This is Mike Higgins. I think when you look in the space, our industry, right, which is corrugated plastic neuroplastic pipe. We're 10x to 15x bigger than the next guy. So we have a very strong market share position, and that would be true in both pipe and the Allied Products. There's nobody else really in the storm water industry, if it's a plastic manufacturer or a concrete manufacturer that really can stack up to the depth and breadth of the product line we have, the service capabilities, the talent in the field in terms of the salespeople and our engineering teams. So we feel very good about our market position and that we're going to remain the leader for many, many years to come.
Joe Ahlersmeyer: Yes. Sounds good. Thanks for that, Mike. And then just thinking about next year, not necessarily looking for directionality or numbers, but if you could maybe just rank order kind of in your mind, how you're thinking about the growth potential by pipe, allied, and Infiltrator for next year?
Mike Higgins: I would say it's probably in the reverse order of the way you brought it up, Infiltrator Allied Products pipe. We're we are -- although I think the pipe and Allied will converge a bit. But clearly, the infiltrator the residential starts being better than any of us anticipated and the momentum that they have, the new products we're launching there. Don't forget about that. We're launching six new products there right now. That's a lot of new products that'll have a big impact on us. Our Allied Products have grown faster than the market this year. Faster than our pipe business, which is not a typical -- it's not -- it's usually the way it works. So I think that would be next. And I think on the pipe side, there'll be -- I think things are recovering there. We had positive volume in pipe in the third quarter. And as Scott C said, January looked a lot like the third quarter. So that gives us some measure of confidence. But still, our basic algorithm is to have Infiltrator and allied products outgrow the pipe. That's been part of it for the last six years that I've been here and was in place when I got here, but that's part of our algorithm is to have those two outgrow pipe, and we will continue to try to press that as we go over the next couple of years.
Scott Barbour: Yes. I think, Joe, we've mentioned this many times in the past, but for others, the way we think about our long-term growth algorithm is the pipe is going to grow kind of market plus a couple of hundred basis points, which is the share gains in -- as Scott mentioned, we're targeting Allied Products at Infiltrator to grow kind of high single, low double digit. That's the formula that we aim for long term. Some years will be different. But over the long period, that's the growth algorithm that we think about executing towards.
Joe Ahlersmeyer: And based on the gross margin profile, also seems to support Matt's earlier point about the more upside than downside to margins from here. And I'll pass it on?
Scott Barbour: Yes, you're absolutely correct. Absolutely correct, that is -- Mike illustrated our growth algorithm. Our profitability algorithm is to grow our profitability double digit and grow it faster than the sales and then convert to cash at that greater than 50%. And I think we've been through two cycles of investor days with that and done pretty well against those measures. And we'll continue to tune them up. And certainly, we're thinking about and we get this question a lot, what is the long-term potential of the profitability of that model. And we're pleased that we're ahead of that plan, but we don't have any intentions of going backwards.
Joe Ahlersmeyer: Thanks everyone.
Scott Barbour: Thanks, Joe.
Operator: Our next question comes from the line of John Lovallo with UBS. Your line is open.
John Lovallo: Good morning, guys. Thank you for taking my questions. And maybe just to go back on Joe's question there for a moment and just thinking about the EBITDA bridge and the price/mix materials bucket. I mean it seems like that may have been predominantly mix in the quarter, but correct me if I'm wrong there. But what I'm wondering is that, what was sort of the consolidated margin lift associated with the higher mix have been for trader and Allied? And it sounds like you expect them to continue to grow faster than the pipe business. But as pipe comes back here a bit, I mean what would be sort of the normalization that you would expect in that mix bucket?
Scott Cottrill: Yes. I think the right way to think about it is the Allied and Infiltrator businesses tend to be kind of in that 50% plus kind of gross margin businesses. A lot that goes underneath there, obviously, material costs, conversion, transportation, all of that comes into play. But as we've talked about, there obviously the high profitable products that we have. So we'd love to see the growth algorithm as both Mike and Scott have teed up. We want them to grow faster. Our organic pipe business has good margins for sure. It is lower than Allied and Infiltrator, but you also have to remember, it also has all of the pipe plants and all of the other overhead costs. Yes, a lot of fixed costs to get allocated to that business. So that's okay. That's okay. They're all part of the recipe that gets us to the margin profile and the performance that we've been able to highlight over the last five plus years and going back to when we went public in '14. So as we look at it, obviously, we do look at the most profitable regions. We look at the most profitable products. And even within pipe, we look at how that breaks down between our black pipe HDPE and our gray pipe, Polypro HP. So we'll continue to look at that. We'll continue to invest organically in those products and regions that have those growth characteristics and those profitability characteristics. We are aiming for consistent growth. Obviously, we want really good growth but we also want consistent growth. That's why I think these partnerships that Scott highlighted are really key. So those are additional items that we're adding if you will, to that growth algorithm in addition to what we've normally been able to demonstrate above what the end markets give us. And innovation. We already do a really great job. The six products that infiltrators just announced and going to market with is a great example of that. But with the engineering technology center coming online later this summer, it's going to be even more opportunity to accelerate innovation and bring new products to market that add to those storm and wastewater solutions packages, which, again, distribution, which is our largest customer base, they love the package and they love when we can bring more products to bear because it's a win-win for them as well as us. So that's the secret sauce. That's the recipe.
John Lovallo: Okay. Thanks for that, Scott. And then the second question is on the single-family side, new construction is doing well should be a nice lift for you guys. Just can you remind us what the multi-family exposure is within residential and how you guys are thinking about multi-family for 2024 or let's say, for calendar year 2024?
Mike Higgins: Right. Yes. So multi-family job is roughly about one-third of the ADS residential piece from an exposure standpoint. And I think -- like many others, we've seen weakness in multifamily this year. I think that varies widely by geography as well. But broadly speaking, we've seen some weakness. I think -- again, I think we feel good about longer-term demand for multi-family this year, a little weaker. I think from what we hear from our contacts that there had been a lot of product built and put into the market and it takes some time for that product to get absorbed. But again, fundamentals feel good long term. And I think, again, we'll have a better picture specifically on multi-family as we move through kind of Q4 and get ready for the spring construction season.
John Lovallo: Great. Thanks Mike. Thanks guys.
Operator: [Operator Instructions]. Our next question comes from the line of Noah Merkousko with Stephens, Inc. Your line is open.
Noah Merkousko: Good morning. Thanks for taking my questions. First, just wanted to touch on SG&A. It was a little bit lower than we had expected in the quarter. So how should we be thinking of it in 4Q, just considering some of the accelerated investments you've been making there?
Scott Cottrill: Yes, I would look at it as timing. We do -- and as I said on the last quarter call, we are making additional investments, and we it's not one of those things to look at and say it's a perpetual increase in SG&A costs. But we're taking the opportunity with a better year than we expected coming in to double down on some of our customer service and logistics initiatives. We're going to spend a little bit more on some consulting costs, a little bit more around IT infrastructure items. So again, they're more kind of project-based items here over the next 3 months type of items. So the quarter was a little bit lighter than what we thought. But fourth quarter will be a little bit higher than what we've seen, especially on a year-over-year basis. But that's okay. That's built into our guidance. And it helps us prepare for additional long-term profitability and growth. So taking the opportunity with a great cash flow, great performance to get ahead of some of these investments we know we need to make and doing them now is going to provide huge dividends down the road.
Noah Merkousko: Got it. That's helpful and makes sense. And then for my follow-up, could you give us an update on the M&A pipeline and how you're thinking about balancing using cash between M&A and share repurchases?
Scott Cottrill: Yes. So again, it's -- first, like I laid out, it's organic, right? We've got so many initiatives around resin, recycling, productivity, innovation. So we're going to do that to the full extent we can and do it well and need to execute on those really, really well. Then from there, it's acquisitions. So we obviously look at the different verticals that we have, the different segments of the business. We look at where the growth is. We look at where we could add to the solutions package. We're staying within the water thematic, that's important to us. And we will look at close adjacencies, but that's where we want to stay. So when you look at Allied Products, we've always highlighted those. And when I say that, think water quality. Scott mentioned storage in this rainwater harvesting partnership, right? So those are all kinds of things that go and add to the package in our very high-margin products that we can take a technology or a local product and then blow it out through our national footprint. So those remain the key, we like our share buyback program, right? You've heard the magic words, right, disciplined, balanced, allocation. Well, that's very true here in what we're going to prioritize and we'll continue to look at that. So we were to come on the share buyback as we get through our fiscal year, but we really like the hand that, that provides us with an -- we like returning some of the, what I'll call, excess cash, air quotes around that to our shareholders. We think that's a really good use of, again, what we deem or determine as excess cash. So that's how we think about it.
Noah Merkousko: Got it. Thanks for all the detail there. I'll leave it there.
Scott Cottrill: Great. Thank you.
Operator: I will now turn the call back over to Scott Barbour for closing remarks.
Scott Barbour: All right. Thank you very much. Again, everyone that was on the call today, some very good questions. And it was a good quarter. We're really proud of the performance of the company this year which started out as a tough year. I think we've kind of worked our way through it very nicely. We're going to finish strong and tee up another good year next year. With that, again, thanks, and I'm sure we'll be talking to many of you here over the course of the day. Thank you.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.